Operator: Ladies and gentlemen, thank you for standing by for 36Kr Holdings, Inc, second half and fiscal year 2024 earnings conference call. At this time, all participants are in listen only mode. After management's prepared remarks, there will be a question and answer session. Today's conference call is being recorded. I'll now turn the call over to your host, Shin Wang, IR, Manager of the Company. Please go ahead, Shin.
Shin Wang: Thank you very much. Hello everyone, and welcome to 36 Kr, holding the second half and the fiscal year 2024 earnings conference call. The company's financial and operational results were released earlier today and have been made available online. You can also view the earnings press release by visiting the IR section of our website at ir.36kr.com participants on today's call will include our Chairman and CEO, Mr. Dagang Feng and our Chief Financial Officer, Mr. Xiang Li, Mr. Feng will start the call by providing an overview of the company in the performance highlights for the second half in the full year in Chinese, followed by an English interpretation. Mr. Lee will then provide details on the company's financial results before opening the call for your questions. Before we continue, please note that today's discussion will contain forward looking statements made under the safe harbor provisions of the US private security litigation reform act of 1995 forward looking statements involving hearing the risks in uncertainties as such, the company's results may be materially different from the views expressed today. Further information regarding in other risks, in uncertainty included in the company's perspectives in other public filings, as filed with us. Sec, the company does not assume any obligation to update any forward looking statements, except as required under our law. Please note that 36 Kr's earnings press release in this conference call include discussion of unaudited GAAP financial measures as well as unaudited non GAAP financial measures. 36 Kr's earnings. Press release contains a reconciliation of the unaudited non GAAP measures to its unaudited gap measures. And please note that all amounts are in RMB. I will now turn the call over to your coaching. And the CEO, Mr. Dagang Feng please go ahead.
Dagang Feng : Thank you. Hello everyone. Thank you for joining our second half in the fiscal year 2024 earnings conference call. 2024 marked a year of comprehensive operating efficiency improvements for 36 Kr, notably, our operating expenses in the second half of 2024 decreased by 50% compared to the same period for 2023 our total operating expenses as a percentage of the total revenue decreased by 17% percentage in the second half of 2024 compared to the second half of 2023 while our gross profit margin remained about 50% for the second half of 2024 as a result, we vastly narrowed our operating losses, while cash reserves remain essentially stable, establishing a resilient framework to support companies long term, solid business operations. This operational achievements were primarily driven by our business structure in the workforce efficiency improvements throughout the year, we also consistently fortified our content ecosystem in 2024 leveraging our peerless content creation promise in comprehensive marketing offerings, we continued to optimize our advertising operations while broadening our media reach. We embraced the emerging global expansion trends and remained focused on AGI innovation, further accelerating our implementation of the AI across real world scenarios. This efforts gives significant progress in both our global expansion and the AI application. Let's a closer look at companies development from two key perspectives, first, our existing business, and second, our growth initiatives. For existing business. I will start with an update on our content influence in commercialization. In terms of content ecosystem development, we continue to create high quality content on multiple fronts, while maintaining our existing content metrics, building our flagship channels, including 36 Kr in the 36 Kr Pro. We broadened our reach in sub verticals, actively expanding high quality content specific accounts like the emergence of intelligence, 36 Kr auto, future consumption, 36 Kr games, weights in, 36 Kr finance, among others, this account made our metrics more comprehensive by adding both broad content coverage and deep expertise in specialized domains to provide users with invaluable insights into industry trends, in evolving business dynamics. At the same time, we continue to tailor content experiences for younger generations by loving by launching our OE in tight, sub vertical media channels featuring a broad content metrics of text in the graphics, comics and customized videos, the channels successfully engage the younger audiences, greatly extending our contents reach. In August 2024 we officially launched a new content specific account, 36 Kr games dedicated to exploring gaming products, technology, business value in cultural stories. We utilize a wide range mix of text, graphics, like streaming and we do formats to capture the vigorous development of the gaming sector and engage its dynamic audience. To date, our accounts cover advanced manufacturing, digitalization, dual carbon in ESG, hardcore technology, highly specialized in innovative enterprises, consumer life science, in much more, fostering a thriving content ecosystem. In 2024 our editorial team published 8090 articles through content specific accounts of which 2465 were original gathering over 220 million page views, more than 241,000 comments in the 5.263 million shares, notably on the 36 Kr official account alone 757 of our articles achieved over 100,000 page views Moving on to our content dissemination network, we said we expanded our footprint across diverse channels, crossing a comprehensive circulation metrics in compassing, major new medium platforms like Weibo, red note, total, Juhu, Billy Doug show, among others. Broad channel exposure brings us wider overall dissemination and higher visibility for. Our premium content, our consistent production of high quality content, expanded and diversified our user demographics, further elevating user engagement in the thickness as of the aims of 2024 we had over 35.9 million followers, marking 16 consecutive quarters of growth. We explored the growing areas for content format throughout 2024 including text, graphics, short and a long form, reviews, audio in your live streaming and reaching our content offerings with a greater diversity of styles in terms of a short review, our exceptional content creation capabilities earn as widespread visibility in the rate for reviews from users. Our video followers exceeded nine.31, million by the end of 2024 including a significant 2.47 million or billion alone up by 10% a year over year. Our beach channels forward followers searched by 58% year over year. Our short video business continue to excel with its contribution to advertising revenue consistently on the rise. The long form video segment, we collaborated with popular short form video platforms though, in to launch a new season about a late talk show series foreseeing 2034 in the second quarter. We made notable strides in content creation and a channel distribution through this robust partnership, the debut episode before seeing 2034 featuring new founder, William Lee, being delved into upcoming shifts in the New Energy vehicle sector garnering widespread interest in The racking up over 84 million views across various platforms. For last streaming this year, we optimized our resources with a streamlined team in the fully leveraged WeChat channels to cultivate an area for content specific accounts, including 36 Kr Pro Plus global expansion golden shovel and 36 Kr CEO tips. This effort not only significantly elevated our live streaming content influence, but also developed commercial convergence and supplemented our low output offerings. We hosted the 272 live streaming sessions in 2024 addressing a diverse spectrum of training topics, including AI, large models in Chinese brands, global expansion. Additionally, we launched our first e commerce live streaming in late 2024 our debut episode featured 3038, tech products and garnered over 1.6 3 million views with a live audience of 289,000 notably the 36 Kr live streaming channel ranks the number one, although in the smart device category later board during the same same time period as live streaming. What's more, for the full year, our live streaming revenue surged by 68.5% year over years. Moving forward, we will continue to explore new live stream formats in scenarios, delighting both our users in clients with richer content scenarios in the more diverse service models. Now let's turn to enterprise value added services. In 2024 we achieved a substantial success with the launch of a major event, IP advanced productivity. AI partner submit, in collaboration with industry giants like Alibaba, by Duke, Lenovo and Intel, we delved into the latest trends in AI application, sharing insights on both opportunities and challenges gleaned from day to day, business operations. This summit attracted an impressive 100 million plus views, sparking extensive industry buzz. Additionally, we held our highly anticipated signature it event, the white 2024 business kings conference in November. 2024 the Submit focused on 11 trading industry verticals in the future, the two regional sub forums, the wise 2024 continuing to think globalization. Sub forum, Shenzhen and the wise 2024 always with you. Future consumption conference, Beijing. The event brought together more than 200 Chinese business leaders in the elites representing a wide area of industries, including the Tai Fu, CEO of 01 AI and the chairman of the Innovation Ventures. Wei Bing, partner in the president of the Xiaomi group, Dai Wei, Senior Vice President of group jacking Dong, Vice President of Weibo in year, CEO of the BG, BCI group in John con, CEO of jupy, sharing visionary insights into the future for China. China's business advancement. A wide 2024 business games conference attracted over 850 million total views In addition to offline events, we continue to make straight in our consulting services and other enterprise value added a service offering to this year, for instance, 36 Kr Research Institute delved into key sectors appointed for disruptive growth with significant upside potential, such as global expansion, embodied artificial intelligence, low altitude economy and artificial intelligence, among others, Their in depth analysis considered the factors like policy, guidance, funding, activity, market demand, industry, chain, structure, competitive landscape, business model and development trends in 2024 followers of 36 Kr research institutes increased by over 11% while workforce productivity ratio significantly improved on the commercialization front, we strengthened our foundation in industry research, in the strategy for market planning, while expanding into due diligence, branding, consulting in other services. To various efforts I just described have also contributed to client structure optimization, our enrich the content ecosystem and diverse content distribution channels empowered us to consistently expand our portfolios of services and the products this year, enhancing our commercialization capabilities. This has enabled us to expand our outreach to clients in emerging sectors. Like New Energy vehicles in the luxury food consumption, while actively broadening partnerships with legacy brands in traditional industries like a apparel and food Physically coordinated initiatives meaningfully benefited already existing business through increased productivity, optimize the business in the client structures and enhance the sustainability of revenue streams. Going forward, we will continue to expand the boundaries of the median explore new products in the business models for global expansion to drive revenue growth in advanced AGI applications to further optimize content production and commercialization efficiency. Turning now to our growth initiatives in 2024 global expansion emerged as a crucial opportunity that no Chinese company could afford to meet, and 36 Kr is no exception. 36 Kr has already established a solid presence in Japan through 36 Kr Japan in Southeast Asia, while Croatia, building on years of extensive efforts by its overseas teams, 36 Kr has cultivated significant ties with foreign governments, major industry players, startups in capital ecosystems and matching a wealth of success stories and experiences in facilitating global business expansion. For years, we have been providing media services in the marketing support to Chinese companies overseas, while our international teams have been helping foreign institutions and enterprises tap into business opportunities in China. On the content front, we have extensively covered globalization success stories of leading Chinese companies such as Minnesota, novel, APR e propulsion, nationality, digital, animal rich, keeping a close my eye on the global expansion dynamics of Chinese enterprises. On global expansion we launched that this expansion, we launched the 36 Kr European Central Station in 2024 currently 36 Kr Europe mainly features new operational startups from the 36 Kr ecosystem, along with our regional content, such as a quarter passage, equipping open stakeholders with timely and comprehensive information on Chinese businesses. This initiative enables 36 Kr Europe users to access the same information at the same time as those in China. Additionally, 36 Kr Europe leverages AIG technology to empower its content ecosystem, notably improving productivity while lowering content creation cost. It currently supports browsing English domain, German in the Chinese, with plans to add more languages in country specific channels. To maximize the synergy of domestic resources in December 2024 26 KR initiated and launched the Beijing International Chamber of Commerce global expansion Service Committee, under guidance for China console for the Promo. Question of international trade, Beijing sub Council 2026, leading institutions have joined the committee, including LinkedIn, China, China Mobile, international, KPMG and financial. The committee brings together Beijing's top industry and professional service providers specializing in global expansion related solutions to help local businesses expand into global markets, aiming to gradually enhance the international competitiveness of the Beijing based companies. Moving on to commercialization beginning of the beginning of 2025 36 Kr signed a an agreement to enter strategic partnership with Hangzhou Tian new area reconstruction and Investment Group company for the Chinese enterprise International Services Center Operations project. This collaboration will leverage our expertise in organizational operations, in the online content distribution, as well as our vast network of global expansion resources to support Tian tau new area in building a unique service ecosystem in the operational framework for cooperative global expansion. This initiative seeks to create a powerful brand 14 pound new area in the amplify its international influence to empower Chinese enterprises, to expand globally. Moving forward, 36 Kr will remain committed to expanding into integrating cooperative resources for storing synergy within an extensive Global Partnership ecosystem. This will enable us to better serve Chinese businesses and institutions in their international ventures, empowering Chinese businesses global expansion while driving 36 Kr's revenue growth. In addition to exploring global expansion offerings, we continue to focus on artificial intelligence depending our innovative AGI applications to further optimize content production and commercialization efficiency. We also provided intensive coverage of China's AI ecosystem throughout 2024 we are the only tech media outlet worldwide to have exclusively interviewed the deep six founder twice for our first in the industry reports on topics like six AI Tigers face the exit from a pre training In the GPU leasing dilemma for AI computing centers to tracking and swiftly capturing the latest AI developments of attack giants like Alibaba by dance in Xiaomi, our coverage of China's AI community is both broad and deep and qualified by our network's extensive reach In addition to our broad concentrate in the king insights, we have actively integrated AI GC technology into our content ecosystem to enhance efficiency company wide. In 2024 we launched an area of AI powered tools, including AI text to image, AI Bab and AI financial report interpretation, as well as AI meeting coverage, which fully elaborate. Is a large scale AI model technologies in the AI algorithm to produce AI powered interviews in a generated content. The underlying system currently incorporates multiple developers, large AI models such as Seoul Bao and Tony Jian. The models and we integrated Deep State in February 2025, AI meeting coverage has covered over 330 companies since its launch, highlighting their latest initiatives were found raising dangers. In addition, we launched the 36 Kr cooperate only intelligence in October 2024 targeting stock market investors by providing daily sentiment analysis reports for public companies. The Service currently covers over 7800 public companies listed in mainland China and Hong Kong, users can search filter and subscribe to reports on their preferred companies receiving data analysis in a personalized content format. The products underlying sentiment data is a collaboration between 36 Kr in Stockton, a fully owned subsidiary of a beyond soft. Currently, subscriptions for this daily report total 303 124 with a cumulative user base of 600 more than 600. Our [indiscernible] further underscores the 36 Kr's or full size acumen and outstanding execution capabilities in AI, leveraging the inherent synergies between aigc technology in the content production industry, we maximize the aigc technology utilization in our content production activities this year, including information identification, text processing and image generation. Moreover, we continued to broaden our business scope by actively promoting AI application across diverse business scenarios. For example, we partnered with, partners with, since time, to jointly launch AI financial report interpretation services by introducing diverse AI products, we broadened the purview in the precision of our customer outreach initiatives, effectively connecting with a diverse spectrum of enterprises in the organizations previously beyond reach due to resource intensive workloads in the manpower limitations In summary 36 Kr comprehensively improved its operating efficiency throughout 2024 thanks to our peerless content creation process, robust IPS assets, deeply engaged users, refined the customer structure in the Diversified product in the service lineup, looking ahead to g20 25 as a prominent brand in the pioneering platform supporting new economy enterprises, we are pointed to hone on competitive edge in content creation, broaden the reach of our products in the service offerings, and further harness AI technology To empower high quality development among New Economy stakeholders. With that, I will now turn the call over to our CFO, Mr. Xiang Li who will discuss our financial results.
Xiang Li: Thank you for joining or today's conference call, we will now review the second half. Of 2024 and the full year financial performance. Please note that all amount are in RMB, unless otherwise stated, the company's total revenue were 128.7 million in the second half of 2024 compared to 200.3 million in the same period of 2023 the total revenue for the full year of 2024 were 231.1 million, compared to 340.2 million in the previous year. Online advertising services revenue were 100.2 million in the second half of 2024 compared to 139.8 million in the same period of 2023 for the full year of 2024 or online advertising services revenue were 180.6 million, compared to 238.7 million in the previous year. The decrease was primarily due to the reduction in advertising spending by advertisers from certain industry and ongoing elimination of underperforming customers as a proactive measure to reduce credit risk, enterprise value added services revenue were 19.4 million in the second half of 2024 compared to 40.5 million in the same period of 2023 for the full year of 2024 for enterprise value added services revenue were 32.8 million, compared to 67.3 million in the previous year. The decrease was mainly due to a strategic degree focusing on the core high marketing business through the optimization of underperforming Regional Operations, subscription services revenue were 9 million in the second half of 2024 compared to 20 million in the same period of 2023 for the full year of 2024 or subscription services revenue were 17.6 million compared to 34.2 million in the previous year. The decrease was mainly due to the strategically transition in the business model for training services. Cost offered revenue was 61.8 million in the second half of 2024 compared to 88.1 million in the same period of 2023 for the full year of 2024 or cost of revenue, was 180.7 million, compared to 158.2 million in this in the previous year, the decrease was primarily attributable to the to a decrease in operating costs resulting from or improve the efficiency. Gross profit was 66.9 million in the second half of 2024 compared to 112.2 million in the same period of 2023 gross margin was 52% in the second half of 2024 compared to 56% in the same period of 2023 for the full year 2024 or gross profit was 112.3 million, compared to 182 million in the previous year. Gross margin for the full year of 2024 was 48.6% compared to 53.5% in the previous year. Operating expenses were 73.1 million in the second half of 2024 compared to 147.5 million in The same period of 2023 representing a decrease of 50% year over year for the full year of 2024 or operating expenses were 119.1 million, compared to 276.2 million in the Previous Year, representing a decrease of 31.2% year over year, sales and marketing expenses were 33.2 million in the second half of 2024 a decrease of 40% from 62.7 million in the same period of 2023 for the four. Year of 2024 or sales and marketing expenses were 82.6 million, a decrease of 35.2% from 127.5 million in the previous year. The decrease was primarily attributable to the decrease in payload related expenses, rental expenses, and marketing and promotional expenses, general and administrative expenses, were 30.3 million in the second half of 2024 58.8% decrease compared to 72.2 million in the same period of 2023 for the full year 2024 or general and admin expenses were 93.1,000,030% decrease compared to 107 million in the previous year, the decrease was largely attributable to the decrease in personal related expenses, and partially offsite by doubtful account, loss, research and development expenses were 5.6 million in the second half of 2024 a decrease of 55.6% from 12.6 million in the same period of 2023, for the full year 2024, or R&D expenses were 14.4 million, a decrease of 65.5% from 41.7 million in the previous year, the decrease was primarily due to the workforce risk factoring to enhance RMD efficiency, share based compensation gain recognized In cost of revenue, sales and marketing expenses, and R&D expenses, as well as the general and admin expenses, totaled 0.2 2 million in the second half of 2024 compared to the share based compensation expenses of 0.9 7 million in the same period of 2023 for the full year 2024 the total amount of share based compensation gain was 0.1 8 million, compared to 4.7 million of share based compensation expenses in the previous year. The change were mainly due to the reversal of SPC expenses caused by strategic workforce optimization, other expenses were 38.6 million in the second half of 2024 compared to 1.1 million of The of other income in the same period of 2023 for the full year, 2024 or other expenses were 63 million compared to 4.9 million of other income in previous year. The change was primarily driven by the impairment loss of long term investment. However, the company has a proactive, responded and upbeat about its future. Income Credit were 1000 in the second half of 2024 compared to 148,000 of income tax expenses in the same period of 2023 for the full year, 2024 or income tax expenses were 64,000 compared to 42,000 of the income tax credit in previous year. Net loss were 44.9 million in the second half of 2024 compared to 36.6 million in the same period of 2023 for the full year 2024 net loss was 140.8 million compared to 89.2 million in the previous year, net loss attributable to 36 Kr in ordinary shareholders was 42.3 million in the second half of 2024 compared to 37.7 million in The same period of 2023 for the full year 2024 the number was 136.6 million, compared to 19 million in the previous year. Basic and the diluted net loss per ABS was were bought 19.329 in. The second half of 2024 compared to 17.9 double seven in the same keyword of 2023 for the full year 2024 the number were about 64.795 compared to 47.132 in the previous year. As of December 31 2024 the company has a cash and cash equivalent and short term advisement of 92.5 million. Well, this concludes all or prepared remarks today. We will now open the call to questions. Operator please go ahead.
Operator: [Operator Instructions]. Your first question comes from [indiscernible].
Unidentified Analyst: The company's overall advertising revenue declined this year. Was the company's outlook for its advertising business moving forward?
Dagang Feng: First of all, in 2024 we proactively optimized our advertising products in advertiser customer base, adjusting certain low margin in high risk advertising businesses, this strategy could move resulted in a greater reduction in relevant cost, in the expenses driving continuous improvement in the overall profitability of our advertising business. Although our overall advertising revenue declined slightly, our internet sector, key accounts in the leading brand customers remained stable in 2024 we maintained the strong partnerships with key accounts like Alibaba, jd.com Lenovo and Huawei, additionally leveraging the content influence with our VCAT content specific accounts, including our youth in TIDE, we continuously accelerated the growth in our high quality customer base by consistently meeting our customers diverse Content marketing needs. We continued to attract premium customer customers across the sectors such as food and beverage, restaurant chains, sports in outdoor beauty and personal care, home appliances and more, we onboarded various premium global brands as partners, including Apple artery covers, PFC and PNG with the proportion of a new customers consistently on the right. We are cautiously optimistic about our advertising growth trajectory for 2025 despite the micro economic headwinds, we continue to deepen our expertise in key content verticals that matter mostly to our clients, such as AI and global expansion among others, by empowering customers across our industries with premium content solutions and constantly optimizing our products in the client structure, we are confident we can strengthen our advertising business resilience.
Operator: Thank you for your question. And do you have more questions?
Unidentified Analyst: Throughout 2024 what progress has a company made in reducing costs, in improving efficiency?
Dagang Feng: Firstly, through rigorous cost control in the cost structure. Optimization of gross margin responded to over 50% in the second half of the year. Secondly, as for expenses, we implemented an area for cost cutting in The efficiency enhancement initiatives, including relocating to an office building with lower rental costs, streamlining our tech and R&D teams, adjusting unprofitable businesses, improving workforce efficiency In cooperation in upgrading our organizational structure, etc. as usual. Additionally, we are integrating, integrating AI technology in the AI tools on all fronts, effectively saving costs in the elevating efficiency. This initiative led to a significant reduction in operating expenses in the second half of 2024 down by over 50% compared to the same period of 2023 Meanwhile, our operating expense ratio declined by 17% year over year. As a result, we badly narrowed our operating losses compared to the same period of 2023. In 2025 the company will continue to refine its products or customer base in the organizational structure to further enhance overall profitability. That's all for the answer. Thank you for your question. Do you have more questions?
Operator: Thank you. Your next question comes from [indiscernible]. Please go ahead
Unidentified Analyst: What led the decline in the full year revenue from enterprise value added services. Can you share the outlook for this huge revenue from enterprise value added services?
Dagang Feng: Small and median enterprises in the government institutions made up the majority of our enterprise value added services points, and they are relatively more affected by massive economic dynamics, uncertainties as a macro level, may promise more in the median enterprises to certain to curtain spending on consulting in offline initiatives, while government institutions may implement budget cuts. These factors collectively contributed to the decline in demand for enterprise value added services. Additionally one more important reason, this year, we strategically restructured our existing network of regional outlets in the once again optimized our service architecture and offerings for government in the public services system. As a result, we scaled down low margin, unprofitable, low. Government projects, leading to a decline in revenue from enterprise value added services, but on the upside, the strategies, this strategic adjustment has optimized our business in the product portfolio, reinforcing both sustainability in profitability. In 2025 we plan to carry on many of our legacy IP events, including wage our signature gathering designed for individual customers, and why our flagship year end submit, along with a variety of industry specific sharing programs in the forums that cater to diverse customer segments, like AI partner, these activities will lay the groundwork for revenue growth in enterprise value added the services Moreover, we will continue to expand the initiatives related to global expansion within our enterprise value added services in 2025 sustaining our strong globalization momentum from 2024 in addition to Southeast Asia, Japan, the Middle East and Europe will further strengthening, strengthen our global network and collaborate with the China Council for the promotion of international trade Beijing sub council to tap into additional resources from Beijing based service providers specializing in global expansion related solutions and enterprises seeking global expansion. At the beginning of this year, we made our first worry into operating a local government global expansion service center in our capacity as a meeting entity, partnering with partnering with Hangzhou Qian Tong new area construction in Investment Group company for The Chinese enterprise International Service Center Operation projects, moving forward, 36 Kr will remain committed to expanding and integrating cooperative resources for storing synergy within an extensive Global Partnership ecosystem. This will this will enable us to serve Chinese businesses in the institutions, in their international ventures, empowering Chinese businesses for expansion, while driving 36 Kr's revenue growth. Thank you for your question. Do you have more questions?
Unidentified Analyst: How does the company position itself in generative AI, across content in the product offerings?
Dagang Feng: Thank you for your question. Before DeepSeek gained widespread attention, we were the only tech media that worked to have exclusively interviewed the deep six founder then one phone twice. We were also the first in the industry to report on key industry development related six. Ai typers faced acid from pre training GPU leasing dilemma for AI computing centers in 2024 we also hosted the highly influential AI quantum submit for AI sub verticals. Those achievements underscored our broad and deep coverage of China's AI community and qualified by our network's extensive reach. As I just mentioned, the company launched an area of AI powered products in 2024 including AI text to image, AI Lab, AI financial report, interpretation, AI meeting coverage in the 36 Kr corporate, company intelligence, among others, notably AI meeting coverage has covered over 330 companies highlighting their latest initiatives in fund raising ventures. And we integrated in February 2025 meanwhile, 36 Kr cooperative Omni intelligence currently covers over 707,800 public companies listed in mainland China, in Hong Kong, subscriptions for its daily reports have reached more than 3000 and with a cumulative user base of more than 6000. In 2025 we will continue to develop our AI content ecosystem, maintaining our edge in corporate covering the latest AI trains, inconsistently, delighting users with premium content associated with AI GC technology. We will also further integrate AI GC technology with content production to unlock new avenues for success. Thank you for your question.
Operator: Thank you. As there are no further questions, I'd now like to turn the call back over to the company for closing remarks.
Shin Wang: Thank you once again for joining us today. If you other questions, please feel free to contact 36 Kr's investor relations through the contact information provided on our website.
Operator: This concludes the conference call. You may now disconnect your line. Thank you.